Operator: Greetings, and welcome to the Tecogen Q1 2023 Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. With us today are Abinand Rangesh, CEO and CFO; Roger Deschenes, CIO; and Jack Whiting, General Counsel and Secretary. It is now my pleasure to introduce your host, Mr. Jack Whiting. Thank you. Please go ahead.
Jack Whiting: Good morning. This is Jack Whiting, General Counsel and Secretary of Tecogen. Please note this call is being recorded and will be archived on the Investors section of our website at tecogen.com. A press release regarding our first quarter 2023 earnings and the presentation provided this morning are available in the Investors section of our website. I would like to direct your attention to our Safe Harbor statement included in the earnings press release and presentation. Various remarks that we may make about the company’s future expectations, plans and prospects constitute forward-looking statements for purposes of the safe harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the company’s most recent annual report on Form 10-K and quarterly reports on Form 10-Q under the caption Risk Factors, which are on file with the Securities and Exchange Commission and available in the Investors section of our website under the heading SEC Filings. While we may elect to update forward-looking statements at some point in the future, we specifically disclaim any obligation to do so. Therefore, you should not rely on any forward-looking statements as representing our views as of any date subsequent to today. During this call, we will refer to certain financial measures not prepared in accordance with generally accepted accounting principles or GAAP. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures is provided in the press release regarding our first quarter 2023 earnings and in the Investors section of our website. I’ll now turn the call over to Abinand Rangesh.
Abinand Rangesh: Thank you, Jack. Welcome to Tecogen’s First Quarter 2023 Earnings Call. Today’s agenda, I will start out with a progress update. In the last call, I laid out both a short- and medium-term plan. In the short term, we are focused on stabilizing the business, in particular with regards to cash. We are also building out the sales and distribution channels, so the revenue can grow. I’d like to start with this update and then cover the 2021 – I mean, 2023 results. Although we saw a decline at the end of 2022, I am happy to note that our Q1 2023 revenue was 35% higher than Q4 2022. I expect revenue for every subsequent quarter from this point forward to be better than the last. We have successfully integrated the service contracts we acquired from Aegis and are now starting to derive revenue from them. The sales team has been working diligently to expand the sales pipeline. We have added nearly 35% more deals into the sales pipeline than in Q4. Although not yet in our backlog, we have also been working on some larger projects that cumulatively make up more than 20 units. We are optimistic these will close and ship later in the year. Our cash position remained stable. We finished the quarter with $1.6 million. Our cash position today is over $2 million. We also expect further cash to free up as inventory levels reduce when we ship more units in Q2 and Q3. Lastly, we are still owed $1.8 million in NYSERDA rebates, which we expect to collect over the upcoming quarters. Lastly, we are working on obtaining the first purchase orders for the air-cooled chiller. Although our typical sales cycle is greater than a year, during the last investor update call, I had set a target of the first purchase order by August. We are well on our way to achieving that. Before I move on to results, I know some investors have asked about the ransomware attack the company experienced two weeks ago. We caught it quickly, and we’re able to restore all files from backup. The attack happened on Friday the 28, and we were fully operational on Monday. Our key systems are on the cloud, so we’re unaffected. Our cybersecurity vendor doesn’t believe any files were copied from the network, but we have provided all employees identity theft insurance just in case. I’d like to do a quick recap of our products and our business model before Roger reviews the results. We have three value propositions for end customers. The first is power generation and resiliency. This is electrical cogeneration for energy savings and in some cases, for backup power in the event of a blackout. We use a natural gas engine to generate electricity and use the engine heat to produce hot water for the building. We are twice as efficient as an equivalent fossil fuel power plant as we are able to use the heat, so we have a much lower greenhouse gas footprint. The second is our clean cooling products. These products generate chilled water and hot water simultaneously in applications that require climate control, such as health care, CEA, et cetera. We are the cheapest source of producing cooling and humidity control. Typically, the highest cooling load occurs in summertime when natural gas prices are lowest. So we also offer customers substantial energy savings. In addition to energy savings, our chillers require little to no electricity to operate, so are ideal for applications where utilities are unable to supply sufficient power. As with electrical cogeneration, our greenhouse gas footprint is cleaner than an equivalent electric chiller and boiler combination since most fossil fuel power plants are not utilizing the waste. Both our electrical cogeneration and clean cooling products benefit from a 40% investment tax credit that reduces the payback substantially. Our last value proposition to customers is our long-term service and asset management services. Our service centers provide end-to-end maintenance and allow customers to maximize their energy savings. Our typical maintenance contracts run for longer than ten years, and we also provide ancillary services to maintain balanced supply. This is an area that our strategy will focus heavily on. We plan to increase the range of services that we offer and also increase the number of sites that we service. We have three revenue segments. Our product revenue consists of sales of cogeneration units, microgrid systems and chillers to a range of markets and customers. Our services revenue primarily consists of our contracted operations and maintenance services. Our energy production revenue stream is from energy sales, including sales of electricity and thermal energy produced by our equipment on-site at customer facilities. I have also had some questions from investors on our business model. So I would like to highlight some key points of the way we operate. When we look at the core of our business, we make money by selling product and then obtaining cash flow for many years as a result of the service contracts that are sold with the unit. Over time, this makes the business significantly more valuable. This is the reason that we took on additional service contracts from Aegis and plan to keep expanding the service business as much as possible. At this point, I would like to hand over to Roger to talk about the Q1 2023 results.
Roger Deschenes: Good morning, and thank you, Abinand. As has already been mentioned, we saw a revenue decline towards the end of 2022. As a result of this, our top line revenue was $5.4 million in Q1 2023, which compares to $7.2 million in the first quarter of 2022. This resulted in a net loss of $1.49 million in the current quarter or $0.06 per share. Our gross profit in Q1 2023 was $2.09 million, which compares with $3.09 million in the first quarter of 2022, and this was primarily due to the revenue decline. We also saw a margin reduction, which decreased to 38.9% in the quarter compared to 41.6% in the first quarter of 2022. Abinand will provide more context on the margin reduction and on our plans to increase margin in the segment performance review. Our operating expenses were higher in the first quarter, which was predominantly due to onetime costs associated with the launch of the air-cooled chiller. The Q1 2022 operating expenses benefited from onetime gains associated with the disposal of some energy-producing assets and from the disposition of other assets. Moving forward to EBITDA. For the first quarter of 2023, EBITDA was a loss of $1.4 million, and adjusted EBITDA was a loss of $1.3 million. I’ll now hand the call over to Abinand to talk about the performance by segment.
Abinand Rangesh: Thank you, Roger. During our last call, I mentioned that we should start to see margin recover in 2023. Looking at product margin, it initially appears lower than the second half of 2022 and significantly lower than Q1 2022. When analyzed by product, the chiller margin increased to more than 40%. However, the cogeneration units reduced the overall product margin substantially. This was driven by a supply contract from 2022 with an existing customer. This has now expired. And going forward, we are now using 2023 pricing, so we expect an increase in cogeneration margin. On the service side, we had an increase of 8% in revenue. The segment had margins of 44%. We typically expect gross profit margins of 50% or more. This varies quarter-to-quarter based on actual expenses incurred to maintain the service fleet. We have a significant number of engines in Toronto that were all installed around the same time. As supply chain constraints are easing, we made these engine replacements, so there was a disproportionate increase in cost in Q1. In addition, Q1 typically also has higher service costs since chillers are prepared for the summer cooling season. In context, Q4 2022 had an atypically high margin at 60%. So when taken in context, we haven’t seen any permanent changes to service margin. On the energy production segment, we had 8% lower revenue, primarily due to changes depending on outside weather conditions and how many cogen units ran that particular winter. Our approach to increasing margin is going to come from multiple avenues. We have implemented better metrics to track business performance. This is going to allow us to catch cost excursions quickly. We’re also working on increasing service intervals. If we are successful, this will significantly improve our service margins. We have started a program to perform additional billable service work such as balance of plant. This is high-margin incremental revenue and improved cogeneration plant performance. We are continuing to improve our products, especially our chillers to reduce cost of major items. However, I believe the biggest improvement in product margin will come from increasing – biggest improvement in product margin will come from increasing product volume. To recap our strategy, we plan to free up cash and stabilize the business. We plan to grow the service division and make our products easier to install and sell. We’re expanding our sales distribution system via the right channel partners and developers. And we plan to build up the backlog for the air-cooled seller. I think Tecogen is at a turning point. The company has impressive technology and a business model that generates consistent cash flow over the long term. However, in order to grow significantly, we need to make some major changes. With the introduction of the hybrid chiller and other future hybrid products, a revamped sales and distribution system, the potential for higher utility rates nationwide resulting in improved savings and partnerships with financing companies to make purchasing of our products easier for customers, I am confident that Tecogen has a promising future. I would like to now hand over to the operator for any further questions.
Operator: Ladies and gentlemen the floor is now open for questions. [Operator Instructions] The first question today is coming from Alex Blanton of Clear Harbor Asset Management. Please go ahead.
Alex Blanton: Good morning. 
Abinand Rangesh: Good morning, Alex. 
Alex Blanton: If you could give us a little more information on the contract expiration that hurt the – contract that hurt the margins on cogen. It wasn’t clear to me what that was.
Abinand Rangesh: Sure. No, that’s a great question. So last year, we had signed – and I won’t mention the actual company here, but we had signed an agreement to sell multiple cogeneration units. And there was a fixed number of units as well as a time period where the pricing was fixed. And this was – we started working with this customer, probably midpoint last year. So the pricing that this customer was given was based on the pricing from early 2022. And we basically did two price increases in 2022 as we saw substantial increases in the cost of materials. So we basically waited – as of Q1 2023, that pricing has now expired. So, every project with that customer going forward will have the current pricing.
Alex Blanton: And that was – but was that contract – while you were CEO?
Abinand Rangesh: No, this predated me.
Alex Blanton: Okay. So going forward, what is going to be your policy on this kind of contract?
Abinand Rangesh: I think realistically, we are not going to take those contracts if we can avoid it. Basically, we – the way we’re structuring some of the larger projects that we have, we’re breaking it into sub projects that would have quotations at the time of placement of order. The only time that we are – we’re willing to, for example, hold like we have a project that would ship later this year that we’ve taken orders for now. But we took a substantial deposit as part of that project. And if the shipment date, we believe there’s a certain period of time based on where we are today, right, that we can – given where our inventory is that we can basically – we know what our cost is going to be to build the product. So, if we believe that the period of time exceeds that, then we will not hold the price. As of right now, as you’ve seen with our inventory levels, they’re substantially high. So, we know for a certain number of units, what exactly the cost is going to be. So, we can set the price appropriately, and then outside that we will not hold pricing.
Alex Blanton: Okay. What gives you confidence that each quarter going forward is going to be higher than the last? So by the way, did you report a backlog figure?
Abinand Rangesh: Yes. So the backlog right now is just over $7 million. I apologize if I somehow skipped through – I did report it, but I might – in case I didn’t, it’s right around $7 million. So this is basically why I believe the numbers are going to be relatively solid for – they’re not going to be as high as they were where we were in last year, right? We’re going to have to work back up to that. But where we are right now, we have a backlog for a certain period of time, right? And then we know which ones or essentially which projects have to ship when. And then on top of that, we have now done this Aegis deal. So, I know that’s adding more to the service revenue every quarter. So, as long as we can hit the – essentially a product number of what we did in Q1, the number is going to – in Q2 is going to be higher than where we were in Q1. And then beyond that, as I mentioned, there are some of these larger projects that we’ve – we’re quite far along on them. Unfortunately, timing on those, it’s hard to tell when those orders will come through, but they’re looking pretty solid. At some point, it’s going to come through. So, it’s a combination of what we already have in the backlog, combined with what I believe is in the pipeline. And the fact that we’ve also got these additional service contracts that mean that the revenue is going to improve. It’s not necessarily going – you’re not going to see a massive increase in revenue in the short term. That’s just going to take time. That’s just going to take us really spending some time on building out sales channels. And that’s a 12 – I mean, as I’ve mentioned before, our order cycle is well over 12 months. So, that just takes some time. But based on what we’ve got on the service contracts, I believe we can exceed where we are today on Q1. So, that’s where my underlying statement came from.
Alex Blanton: Great, thank you.
Operator: Thank you. The next question is coming from Jeff Grampp of Alliance Global Partners. Please go ahead.
Jeff Grampp: Good morning. Thanks for the time. I had a question on the Aegis contract that you guys acquired. Can you talk about the opportunity set there? How unique of an opportunity was that? Is that something you guys could look to replicate elsewhere? Or just kind of curious the repeatability of that if you will. Thank you.
Abinand Rangesh: Great question, Jeff. In some ways, that particular opportunity is very unique just because of the fact that Aegis has a very similar product to ours. So, for us to add on those contracts, it doesn’t require a huge amount of new training and capability in terms of cogen service. And we took on additional technicians as part of that transaction. However, there are some other entities that have either some of – who service our own cogen products. There’s a couple of small players there. And there are some other cogen companies that may be interested in some – this kind of a deal. I don’t believe this kind of a deal is going to be a programmatic approach to grow the company. If it does come, we might be interested. But what we do plan on doing is taking on additional sites from Aegis over the course of the year, between 50 and 100 additional units, if possible, depending on how the first sites are integrated. But in terms of other entities that are there, it’s going to be harder to do a programmatic growth there, but we are going to try where we can to pick up additional contracts.
Jeff Grampp: Understood. I appreciate that. For a follow-up, on the OpEx side of things, I believe you guys called out marketing investment for the air-cooled chiller launch. Is that something that will continue basically in perpetuity, given that you have a new product to market? Or is there kind of an increased kind of one-off ramping period, if you will, as you guys launch and get this out into the market? Just kind of wondering how we should be thinking about OpEx going forward? And maybe counterbalancing that with some of the cost containment measures that you have mentioned previously?
Abinand Rangesh: Yes. So, the OpEx side, the air-cooled chiller, when we launched it, we basically launched at the AHR 2023 trade show. And for that, we basically had to take the unit down to Atlanta. And the trade show in itself, it’s because it’s one of the largest, it’s a pretty expensive trade show. So, a lot of the costs were one-off associated with that. There will be ongoing marketing costs, of course, but I don’t expect that to be anywhere near what we spent on Q1. Just because a lot of the ongoing marketing is going to come through these project developers as well as partnerships with gas companies and other entities that could sell the product.
Jeff Grampp: Very, helpful. Thanks for the time.
Abinand Rangesh: Thanks, Jeff.
Operator: Thank you. The next question is coming from Amit Dayal of H.C. Wainwright. Please go ahead.
Amit Dayal: Thank you. Good morning everyone. Could you talk a little bit about the new sales organization or the new sales structure?
Abinand Rangesh: Sure. So one of the key things that we determine when we really dug into what works and what doesn’t, is that we need project developers who are capable of doing these end owner sales. And the way that we – a lot of our chiller things were set out through sales reps who are better placed to be selling to the engineering community. And at the moment with – in some of the key markets like New York where there’s a huge electrification push, a lot of the engineering community isn’t that interested in a gas burning appliance, whereas the end owner sees a huge increase in utility bills. So, they might be interested in cost saving measures. So what we have done is find quite a few project developers in different segments that are able to go to the end owner and make a pitch for including this kind of a piece of equipment is part of a broader project. That way, the project developer can make money not just on the equipment, but also on the installation service and any other services that they offer.  For example, in the cannabis space, one of the ways that we were working is with partners that are building ancillary things like modular chiller plants or control systems, right? They have already a project that they’re working with an end owner on, and we just become an add-on to that bigger project. They are doing the business development, they are building the project around the equipment. And if need be, in some cases, we are willing to offer a little bit of the service revenue over a period of time, just so they have a recurring stream of revenue as well. But it’s really a matter of finding those guys that can do the owner direct sale and where they have some kind of a complementary relationship with the facility developer. Does that answer your question or...
Amit Dayal: No, that’s helpful. Thank you. And then with respect to the Aegis contract, could you share sort of what the margins for that line of business will look like?
Abinand Rangesh: We are at least – so in the short term, right, in the very short term, it’s hard to tell exactly what those margins will look like. But over the one-year point, we expect those margins to look very similar to our service – existing service business. Primary reason for that is, again, the product is very similar. Once we get through both any kind of short-term costs associated with not only integrating those units, but if need be, making engine replacements or doing anything that needs to be done to make – get those units so they have a typical predictable maintenance schedule. After that, we expect it to have pretty similar margins to our existing service business.
Amit Dayal: Understood.
Abinand Rangesh: And that’s after paying any commission.
Amit Dayal: Okay, got it. And then as you sort of are emphasizing growth in the service side as well, with the current infrastructure and the team that you have, how much service revenues can you support? And as you grow that business, will you be able to find the right people and add people? And what are the challenges on that side to keep growing the service side of the business?
Abinand Rangesh: So again, great question. Part of what we need to do on the service side is actually look to extend service intervals, right? That’s one of the areas where we can start picking up margin and also do more with the same – more revenue per head basically. We’ve been lucky that we have over these many years, found the right people on the service business. We have a good structure in place to add additional staff wherever we need. And we’ve got a good training program to be able to train new staff in place. And the good thing with the service business, right, majority of the cost that you add in there is all direct cost associate because you have a little bit of indirect costs associated with fringe benefits and things. But if you’ve got an existing service center in place with the inventory and all of that already in place, adding incremental revenue to that is really just a matter of adding incremental staff. And most of that comes directly as soon as you had, say, 10 units in a location or 15 units in a location, then the incremental revenue is just that additional head that’s going to pay, that’s doing the work on those units. So, it will be a direct cost there. So, I believe it is completely scalable. We’ve done it to date, right? If you look over the last ten years, service business has almost doubled in size. And I also believe there’s opportunities to improve margin in that business just by increasing service intervals.
Amit Dayal: Okay, thank you guys. That’s all I have.
Operator: Thank you. [Operator Instructions] The next question is coming from Jake MacRobbie [ph] a Private Investor. Please go ahead.
Unidentified Analyst: Hi. Just one follow-up from my side on the Aegis contract. I was curious what the early signs of the transition, what customers are seeing as well as what kind of KPIs that Aegis is evaluating success against?
Abinand Rangesh: So, from the customer standpoint, right, the way we did that transaction, we basically took on eight of the Aegis employees and one additional high-level person that could oversee those units. So, from the customer standpoint, really, they got a letter saying that these units have been transferred over. A lot of those customers know of Tecogen because we’ve been a competitor. And in some cases, the customer has some of our units as well. So, there’s many of those customers where we know the customer already. There are some of those where we don’t. And from a day-to-day standpoint, the customer doesn’t see that much of a difference because in the short term, the same Aegis employee that was servicing some of those sites is now servicing them just under a different logo. What’s happening in the medium term is we’re cross-training those Aegis employees on our product and our existing technicians are getting trained on their product. So, we’re basically then over time, going to have whoever the nearest technician is would get sent to the site. In terms of other day-to-day changes, it’s – there’s not a huge amount that needs to happen because, again, they’re operating out of the same service territory, same kind of dispatching like they’re going to use Tecogen’s dispatching systems. So, it’s not that different. I mean does that answer your question? Or did I give you a slightly different answer for a different question?
Unidentified Analyst: Yes. No, that’s helpful. And then I guess I’m just curious with, I think, you said the 50 to 100 other sites, what kind of determines like is Aegis kind of looking for performance against certain criteria or what are the uncertainties there?
Abinand Rangesh: So, some of that really comes down to the – so Aegis has a couple of slightly different units as well. So we’re assessing where we are with regards to the first 200 that we took on. And then we’re going to add on additional sites just based on our criteria, really. I mean we have the right to take on most of the other units that Aegis has. It’s just when we – depending on the data and analyzing how the first sites are going, we want to be a little careful about integrating them in ways that both benefit the customer, Aegis, and ourselves, right? So, we just are being a little cautious about how fast we move on that. It’s very likely that we can take on all 100 within the next six months, but it’s just – we need to see how the first quarter with the new sites go and then move forward from there step by step. 
Unidentified Analyst: Understood, thank you.
Operator: Thank you. The next question is coming from Michael Zuk, a Private Investor. Please go ahead.
Michael Zuk: Good morning. I want to direct our attention to New York City. Given what’s happened in the situation in New York where fossil fuels are going to be phased out, is there a short-term opportunity to lock in some gas-powered systems in New York City given the deadline, I guess, is a phase starts in 2025 and ends in 2029. And then as a follow-up, if we are not going to market the gas-fired systems, is there opportunity to replace our gas-fired systems with electric systems going forward?
Abinand Rangesh: So, a couple of clarifications on the way the New York law has been written, right? It basically says no new fossil fuel connections for like new construction. It doesn’t actually hit existing retrofits. Having said that, right, when a state basically tries to put a blanket ban, it creates a customer perception that gas is not the right thing, it’s not the right technology. But majority of our projects are actually retrofit. So, in the short term, it’s – New York continues to be a market that we’re selling into. Places where you’re going to see impacts of this are projects like the cannabis projects in New York, right? When you have no new construction, no fossil fuel and new constructions, that kind of thing is going to affect our sales into cannabis projects. The multifamily buildings, a lot of them are existing buildings. One of the reasons New York didn’t pass a complete ban on fossil fuels was just because a lot of those existing buildings aren’t going to have the ability to switch to pure electric in the short term. I’m sure that will come at some point. And we are definitely continuing to try to lock in as many of those projects as we can. But I think the new construction is really where the New York law is focused on. The way I’m looking at it as the business as a whole is they’re still – the majority of the country is still a great opportunity for our products. Right? I see Tecogen similar to where the solar industry was 15 years ago. Right? We just have to find a way to get customers to have the economic savings, like essentially share the economic savings. Right? There’s still economic savings pretty much anywhere in the country. And with the combination of the tax credit combined with maybe some financing mechanisms that we can help customers pay for these systems, I think, there are broader markets beyond just New York. Right? New York has incredible utility rates. It makes projects very – the payback is very short. But having said that, as it becomes more and more anti-gas, we’re also looking broader in terms of the country because there are a lot of places in this country, look at Florida, look at the Midwest, right, there’s – the affiliate rates are starting to go up. Gas rates have stabilized. Savings are still pretty reasonable. And with the right proposition, which is kind of what we’re working on right now and the right channel partners, I do think that there’s a much bigger opportunity across the whole country.
Michael Zuk: Which geographies do you intend to concentrate on? I know that we’ve started a marketing effort and have been somewhat successful in Florida. Are there opportunities like in places like maybe Puerto Rico, where the electric infrastructure is shattered, so to speak? And I have some friends in Puerto Rico that are converting to propane. Well, it seems to me if they’re converting to propane, our systems would be opportune for them. Have you given any thought to that?
Abinand Rangesh: So, we see a lot of projects in Puerto Rico and the Caribbean generally. The issue that has always been there with selling projects in the Caribbean and Puerto Rico is it seems to have a very, very long cycle and then it – like we are – it hasn’t been an easy market to break into. I mean we’re continuing to look at projects over there. We’re hoping with some of the new partners that we’ve signed up that we can actually do some projects there because they’ve done existing projects in both the Caribbean as well as Puerto Rico. But I’m not sure that it’s such an easy market to break into. Where I do see opportunity is places like Chicago – Chicago, Maryland, where there are – like Maryland still has a very good rebate for cogeneration and chillers. Chicago still has a little bit of a rebate, not a great rebate, but it has heating for a lot of the year. Utility rates have started to creep up. So, there are other geographies in the country that have good savings potentials. And then if you also look at generally spreading the payment or the savings over – like if you look at the solar industry, for example, right, they – a typical payback on the solar system is more than 13, 14 years, yet projects are still done. And part of that is because they found a way to essentially provide the right financing mechanism for the customer to pay for this over time. So they’re getting some savings every year even though it may not be as large a saving. So that’s also what we’re doing right now is working with some of our partners to see how we can put together a more – a way for the customer to pay for these systems easily as well, which might open up a lot more doors. And then the last piece I will say is there’s still a lot of areas that are resiliently driven, where the savings as long as there are some savings, but there is a huge benefit from having either a dual source like with the hybrid chiller or just having the ability to provide backup power. That adds a lot of value. So, we’re also approaching it from that standpoint to say, what are some applications like process cooling or some of these industrial applications where having some backup power really adds some significant value on the savings, are not the pure driver of making the deal happen.
Michael Zuk: Given the recent experience in Texas where they had massive outages and everything, it would seem to me that marketing efforts to hospitals and schools and other, I guess, end users that need constant flow of power and then have to have backup systems in place, seem to me that would be a good opportunity. What are you doing along those lines?
Abinand Rangesh: That’s exactly right. I mean in terms of Texas as a geography, we haven’t done much over there, right? We just don’t have the reach just yet. But in terms of more broadly marketing to hospital, schools that we do quite a lot right now. Some of that is done through the manufacturers reps, because a lot of the school projects are done – a lot of the hospital projects are done through the engineering community. And a lot of those are build-type projects. So, we work – and we’ve been – that’s part of what we’ve been doing over the last few months is really going out there and showing the benefits of the hybrid technology, in particular, the resiliency benefits that you have by having two power sources and the fact that as the grid gets cleaner, you can always just switch, run it on electric and keep the engine as back up. And what we’re doing there is also trying to go to all the ESCOs that do some of these larger performance contracts for the schools as well as the hospitals and really, again, show the resiliency benefits as well as the saving benefit and kind of – because they’re really the gatekeeper to the broader opportunities when it comes to schools and hospitals. So, that’s our approach with that section.
Michael Zuk: And then as a final follow-up, we’ve had some success in the past in Canada, what’s the status on operations or marketing in Canada?
Abinand Rangesh: So we’ve done a little bit of – we continue to have that relationship with a couple of the big mechanical contractors in Canada. The thing with Canada has been that there was a period where there was both a favorable outlook to cogen as well as the rebates to support it. On its own, the utility rates in a lot of those regions or like in Ontario aren’t really that high, and they have a lot of hydropower. So, it tends to be a much cleaner grid. So, the sale process there is much harder. And at least from where I’m in the short term, we’re not focusing a lot of energy on Canada, just because I don’t believe it’s a strong enough market for us in the short term. I believe there’s a lot of opportunity in the U.S. And as a company, right, we – Tecogen like needs to take advantage of the investment tax credit while it’s there in the U.S. and turn it into projects.
Michael Zuk: And then what are we doing with outside of cannabis with indoor growing? There are companies like Plenty out in California that are building these high-rise indoor growing facilities. And it would seem to me that given the technology that we have available, it would be a logical market for us to pursue.
Abinand Rangesh: Yes. So that’s, again, a great question. So, we have done – we did the indoor ag trade show that really is focused on food crops. The press release that we just put out a month ago or whatever on the three large DTx chillers, that was noncannabis. That was food crops. We have also built relationships with a lot of the entities that are supplying ancillary products to these noncannabis sites. And we’re now working to try and actually build relationships with some of these larger growth companies. The problem that tends to happen in the non-cannabis space is that there isn’t as much cooling per square foot. So, the hybrid chiller is a very, very good fit for that market, and that’s really what we’re pushing. But a lot of these – there’s a bunch of them that are capital constrained, some that aren’t. So it seems to be a mixed bag in terms of getting a lot of – it’s not quite as big an opportunity as cannabis, but it is an opportunity that we’re continuing to pursue. We’ve built the right relationships in there. We’re starting to see projects. And we’ve closed some, right, as I just mentioned, so there’s definitely opportunity there, but it’s not quite as big as cannabis.
Michael Zuk: Thank you for your answers. I look forward to continuing improvement in the next three or four quarters.
Abinand Rangesh: Thank you, Mike, and thank you for your long-term support of Tecogen.
Operator: Ladies and gentlemen, that brings us to the end of the question-and-answer session. We would like to thank you for your participation and interest in Tecogen. You may disconnect your lines or log off the webcast at this time, and enjoy the rest of your day.